Operator: Good morning, ladies and gentlemen, and welcome to the Cameco Corp. Third Quarter Conference Call. I would now like to turn the meeting over to Mr. Bob Lillie, Director, Investor Relations. Please go ahead, Mr. Lillie.
Bob Lillie: Thank you, operator, and good morning, everyone. Welcome to Cameco's third quarter conference call to discuss the financial results. Thanks for joining us. With us today are 4 of Cameco's senior management team. They are Tim Gitzel, President and CEO; Bob Steane, Senior Vice President, Chief Operating Officer; Grant Isaac, Senior VP and Chief Financial Officer; and Ken Seitz, Senior Vice President, Marketing and Business Development. We're also joined by our colleague, Rachelle Girard, Manager, Investor Relations. Tim will begin with brief comments on the quarter and outlook for the remainder of 2011 and comments on current industry conditions. Then we'll open it up for your questions. Today's conference call is open to all members of the investment community, including the media. During the Q&A session, please limit yourself to 2 questions and then return to the queue. Please note that this conference call will include forward-looking information, which is based on a number of assumptions, and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I'll turn it over to Tim.
Timothy S. Gitzel: Thank you, Bob, and thanks to everyone for joining us on our third quarter call today. We're going to start with an overview of our significant developments this quarter. As you may know, we recently signed a nonbinding memorandum of understanding with our Cigar Lake partners, which will significantly improve the economics of the Cigar Lake project and sustain our status as a low-cost producer. The agreement will see all of the Cigar Lake ore processed at the McClean Lake mill, resulting in a significantly lower operating cost for the Cigar Lake partners, dropping from the expected $23.14 per pound to about $18.60 per pound. The impact of this agreement and other changes to the project will be detailed in the next Cigar Lake technical report, which will be available in February of 2012. We also signed a memorandum of agreement with our partner, Kazatomprom, which is an important step toward increasing production from Blocks 1 and 2 at our Inkai project to 5.2 million pounds. The agreement is indicative of our strong relationship with Kazatomprom and is another step toward our Double U strategy. Looking beyond Double U, we also made an offer for Hathor Exploration, which has been extended to November 14 in order to preserve our options in relation to this potential transaction. Today, there's nothing new to report on this. We will let you know when any decisions have been made. As for the results this quarter, they were strong and in line with what we projected, even with the volatility in the markets lately. Our Fuel Services facilities continue to operate well, and revenue from that segment was up $16 million this quarter. However, unfavorable market conditions for UF6 conversion have caused us to reduce production for this year. In the uranium segment, sales, revenue and gross profit were all up this quarter compared to Q3 last year. However, we have revised our uranium production outlook for the year, down slightly by about 1%. Production is not quite where we wanted it to be, mostly because of maturing well fields at Inkai and permitting delays at Smith Ranch in Wyoming. The U.S. regulator is somewhat backlogged, so we continue to work with them to secure permits to bring new well fields into production. However, we are pleased to report that we expect production at our McArthur River-Key Lake project to increase, which offsets some of the shortfall in the U.S. and in Kazakhstan. Our sales outlook remains unchanged, and our sales volume was up 29% for the quarter compared to the same time last year. The number would have been a little bit higher, but one delivery was moved to the fourth quarter. Now over 1/3 of our deliveries are expected to occur in Q4. The higher volume of deliveries this quarter also contributed to the higher uranium revenue and gross profit we saw. Those increases are also a result of the higher realized prices we're starting to see in our contracts, as we come to the end of older contracts and move into those at higher prices. Our contracting strategy is one of the primary reasons that our financial performance remains strong, even while the uranium market and the rest of the industry is experiencing some upheaval. Our mix of market-related and fixed-price contracts is designed to let us benefit when prices rise and protect us when prices decline. We're seeing the benefit of that approach now and will continue to do so, as we expect the current uncertainty in the uranium market to linger for the near to medium term. The drivers of this uncertainty are threefold: First, there remains speculation around surplus inventories from Germany and Japan coming to market; secondly, there's some expectation that customers are going to be requesting deferrals in deliveries; and third, the general economic turmoil occurring around the globe continues. I had a chance to visit Japan a few weeks ago to witness firsthand how the situation is evolving with regard to their nuclear program. With the political flux they've been experiencing, the mixed public sentiment toward nuclear and the difficult and emotional cleanup from the earthquake and tsunami, it is certainly not what you would call an easy situation in Japan. However, the country is taking a responsible approach toward their nuclear program, focusing on their safety reviews and determining what will be the best energy plan for the country going forward. Progress on the nuclear front is being made, but currently, only 11 out of their 54 reactors are operating, and it's not clear when any more will be approved for restart. I also visited China, a country where the nuclear industry is expecting a lot of growth over the next 10 years. Work on their reactors is progressing, but some new projects have been delayed due to the time required to undertake the necessary safety reviews. Because of this, it has been reported that the nuclear generation they had expected to have ready for 2020 has dropped from around 80-gigawatt electric to somewhere between 60 and 70 gigawatts. That's not to say that the new units won't be built, just that some of those new units won't be operational within that 2020 window. That kind of increase though from the 12 gigawatt they currently have operating is still astounding growth for one country in one decade. And China's not the only country with aggressive nuclear plans. India, Russia and South Korea are all areas of growth, and others like the United Arab Emirates, Saudi Arabia and Vietnam are all starting up new nuclear programs. Among the long-established operator countries: the United States, the United Kingdom, Czech Republic and Finland, are all making strong commitments to renew or increase their programs. So the strong long-term fundamentals that we were seeing previously have not gone away and, in fact, we continue to see a very strong and promising future growth profile. This view is shared with others in the industry, including utilities. In a recent conversation with one of our customers, a U.S. utility, they emphasized that nuclear is and will remain an important part of their energy portfolio. The advantage of nuclear for them, they said, is that it is safe, clean, reliable and has limited exposure to fuel cost spikes, a claim few other energy sources can make. So as we've said before, we remain confident in the long-term outlook for the industry, and we are also confident in our own financial strength within the uncertain market environment currently around us. Our size, experience, focus on efficiencies and contracting strategy give us the tools we need to stay on track in order to prepare for the long-term growth we see coming down the road. So with that, I would again thank you for your participation, and we would be pleased to answer any questions you might have.
Operator: [Operator Instructions] Our next question is from Brian MacArthur with UBS Securities.
Brian MacArthur - UBS Investment Bank, Research Division: I was wondering if you could expand a little bit more. You talked about the delays in the U.S. for permitting ISO operations. But I also see in your longer-term forecast has been cut fairly dramatically out in 2014-ish. Is that all just permitting delays and the ramp-up? Or is there something else going on there now?
Timothy S. Gitzel: Brian, it really is related to permitting delays. We've -- I think we've said it before on some of our conference calls. It's complicated, I would say, in the U.S., we find it, and I know our competitors and the juniors are finding it. The plethora of regulatory agencies, I think, that the Wyoming DEQ, the BLM and the NRC and ERA, a lot of different agencies that are getting involved and which is delaying the projects. So that's why we pushed back a bit. We just see that it's going to take us a little longer to get the permitting in place before we can bring these projects into production.
Brian MacArthur - UBS Investment Bank, Research Division: And maybe just on Inkai, same question, you sort of talked about it. Originally, I guess it was going to be 3.1 million pounds off the 5.2 million expansion. Now you've got a production of 2.9 million and I guess profits of 3.0 million. I guess was that I guess that contract or expansion change in this recent MOU, is that effectively what happened?
Timothy S. Gitzel: So what it was, was that for that last 500 ton to move from 1,500 to 2,000 ton, we made a deal with the partners, which is normal in the business, I think. We changed the equity to a 50-50 split, and then the marketing to 40-60 in favor of Kazatomprom. And that is they say a normal give and take in our business. We're happy to have that deal. It needs a few more government approvals before it's finalized, but we think it's a good deal for both sides.
Brian MacArthur - UBS Investment Bank, Research Division: And at one time you were talking about going from 5.2 million to 10.4 million, and that was going to be a 50-50 split as well. Is that still there? Or is that just going to likely be renegotiated in the future?
Timothy S. Gitzel: Brian, that's the same deal that's in place. That's been in place from the start, that the first 2,000 ton was 60-40 or some combination. As I say, we made a little bit of an adjustment on last 500 ton. But for anything going forward, it was a 50-50 split.
Operator: The next question is from Greg Barnes with TD Securities.
Greg Barnes - TD Securities Inc., Fixed Income Research: Tim, in the Canadian operations you talk about costs going up because of standby charges related to the McClean Lake mill. And I assume that's related to processing the Cigar Lake materials from McClean Lake. But you're paying standby charges already; is that correct?
Timothy S. Gitzel: Greg, we had a deal in place with the McClean Lake partners or even in partners even before to mill half of the ore before this latest deal we made, to mill half of the ore, to have their mill ready on standby, to accept the Cigar Lake ore. And so in -- the counterparty for that was that we would pay some portion of the standby costs. So those are the standby costs we're seeing now. Their mill is down. They took it down in I believe summer of 2010 when they ran short on some of their own ore. And so they're keeping the mill ready for us, for Cigar Lake ore, which is extremely important for us, especially now that we're going to take all of the ore there. And so those are the fees we're paying to AREVA and the McClean partners to have that mill ready to go.
Greg Barnes - TD Securities Inc., Fixed Income Research: But how substantial are the fees, Tim?
Timothy S. Gitzel: I think in the -- sorry, we're just looking at each other, and we believe it's in the range of $20 million per year, and that's shared among the partners.
Operator: [Operator Instructions] The next question is from Edward Sterck with BMO Capital Markets.
Edward Sterck - BMO Capital Markets Canada: I noticed that you made a comment on Page 16 of the MD&A, basically saying that you've increased one of your credit facilities from $500 million to $1.25 billion and extended its life span from November 2012 through to November 2016. As yet, that facility remains completely undrawn according to what you've written in the report here. I was just wondering if you could comment on why the increase there, what that facility might be allocated for and so on and so forth.
Timothy S. Gitzel: Edward, I'm going to ask Grant Isaac to answer that, as he was the architect of the change. So Grant?
Grant E. Isaac: Yes, happy to do that. You'll recall that we had 2 credit facilities in the past. We had a $500 million credit facility, and then we had a $100 million credit facility, both were set to expire in 2012. And the $100 million credit facility was actually expiring in early 2012, in February. So that really became the timing we were working towards because we had an interest in not having 2 facilities, but having one broader syndicated facility. So with that February timing in mind, we then looked at what was going on in the capital markets and really wanted to take advantage of some favorable macroeconomic conditions. So we moved ahead with the renewal of it. We both amended and extended the line of credit and, really, as I say, was to take advantage of some favorable conditions. And you've seen a number of players in the resource sector do the same. So timing driven by the expiry of the first facility, and we're quite happy to have that done.
Edward Sterck - BMO Capital Markets Canada: And is there any reason for the fairly significant uplift in terms of the total facility that's available?
Grant E. Isaac: Well, I suppose when you think about these facilities, you always want to have a good offense and a good defense. You want to come up with a number that allows you to take advantage of opportunities that might be presenting themselves in the market right now, given the conditions in our sector. And also, you want to be able to plan for price uncertainty; you want to be able to plan for different conditions that might adversely affect your plans. So you factor all of that in, and a line of credit of that size is both a good offense and a good defense.
Edward Sterck - BMO Capital Markets Canada: Just one follow-up question. The announced -- the guidance for future production is a little bit reduced from where we were previously, not that significantly. Are there any fears at the moment that reaching an absolute doubling of production by 2018 is now becoming a bit of a stretch target?
Timothy S. Gitzel: Edward, I don't think that's changed at all. That's some issues we're dealing with in the U.S. and at Inkai. And as we said, they were recovering some of those pound by better production at MacArthur and Key. And so it's going to -- I don't think we're going to be absolutely bang-on every time, but the slight reduction of 1% isn't causing us any concern.
Operator: The next question is from Brenda Bouw with The Globe and Mail.
Brenda Bouw: I was wondering if you could give us some more details on the decision-making process you're going through right now related to your next move for Hathor or the expectation as you need to top Rio's bid, maybe meet growth objectives. I wonder if you can comment on that. And also, what are the chances that you might team up with Rio for Hathor? Is that one of the options on the table?
Timothy S. Gitzel: Brenda, we're not really in a position to really discuss our actions, either planned or otherwise. All I can say is that our bid was expiring. Our initial bid was expiring on October 31, and we have extended that to November 14. So you'll hear from us in due course.
Operator: Our next question is from Chris Donville with Bloomberg News.
Christopher Donville: I just wondered if you could clarify, on the volumes, the sales -- the delivery, sorry, that was deferred into the fourth quarter, was that for uranium? And what was the reason for the deferral?
Timothy S. Gitzel: Chris, I'm going to ask Ken Seitz to answer that.
Kenneth A. Seitz: Yes, absolutely, it was a delivery that -- a uranium delivery, that we deferred it from earlier this year into the fourth quarter. We are at the moment delivering material into China, and through some discussions with our Chinese customer just elected to move that delivery into the fourth quarter. So -- and certainly, we do this all the time, moving materially around, really working with our customers to meet their delivery needs. So nothing unusual there.
Christopher Donville: Okay. And how much was the volume?
Kenneth A. Seitz: I guess the total deferred volume with that particular customer was about 1.5 million pounds.
Christopher Donville: And does the 1.5 million pounds represent the entire deferral or the entire volumes that were deferred?
Kenneth A. Seitz: No. We have done one other as well. I think our total deferrals into the quarter would be about 2.5 million pounds.
Operator: [Operator Instructions] The next question is from Ben Elias with Sterne Agee.
Ben Elias - Sterne Agee & Leach Inc., Research Division: Ben Elias, Sterne Agee. Just a question. You guys adjusted your production, uranium production very slightly. Bigger adjustment in Fuel Services, and you commented about UF6 conversion. When I look at the supply chain out there, USEC talking about maybe even shutting down GDP next year because utility demand is so weak, and the pricing environment isn't very good. AREVA is taking I think 300 million in deferrals or cancellation for uranium. How are we to -- can you tell us about some of the conversations you're having with your utility customers? You said you have about 300 million pounds in long-term contracts. How do we get a high level of confidence right now given the skepticism, given the uncertainty?
Timothy S. Gitzel: Ben, I'd say you have to separate the 2 pieces. Uranium, our uranium portfolio is strong. We're quite happy with it. As you see, we have about 300 million pounds under contract right now that we plan to deliver it to on the pricing formulas that you can probably see in our table. So we're quite strong in that position. The conversion market, at least in the short term, is soft. I think you've seen that from other producers, and we had some inventory. And so that's the reason behind our slight reduction in production of the UF6 conversion this year.
Ben Elias - Sterne Agee & Leach Inc., Research Division: Okay. Just a follow-up. You did mention that pricing table. I noticed some of the prices are moved to the left. Anything to read into that?
Timothy S. Gitzel: On the pricing table, at first, I should just say that you will see in there we had some issues with that in the last quarter. And so we've rectified those and certainly put in place procedures and people to ensure that we don't make that mistake again. And so we've got that corrected. I think there are some small movements on the margins. Ken, do you have anything to add on that pricing table?
Kenneth A. Seitz: No, nothing I think noteworthy there. As you said, just some very small movements. So I think it accurately reflects where -- how our portfolio will perform under those various prices.
Operator: The next question is from Edward Sterck from BMO Capital Markets.
Edward Sterck - BMO Capital Markets Canada: I just wanted to ask a follow-up question. And I apologize because I dialed in a tiny bit late, and I only caught the end of this, so you have actually already mentioned it. There's a statement at the beginning of the call on China's targets for installed nuclear capacity by 2020. Could you just repeat that for me and, also, give an indication of the source for that as well, please.
Timothy S. Gitzel: Edward, I was over at the -- for the WNA conference about 2 weeks ago and -- so this was a presentation by -- I don't remember exactly the fellow's name that said that Chinese nuclear program's still going very strong. They have I think 14 units in operation and another 26 or 27 under construction that they plan to have in production by 2015, which is breathtaking for us on the growth side. It's that next chunk that we are looking at, 2015 to 2020. And we think now that they'll build another 20 units in that period, which would get them somewhere between 60- and 70-gigawatt electric installed capacity. You remember some months ago that there were prognostications that it will be way higher than that, 80, 90, we even saw triple digits. So I think 60 to 70 are the latest numbers we've seen and still represent strong growth in China.
Edward Sterck - BMO Capital Markets Canada: And just to be specific, are these your forecast based upon what you can see out there? Or are they official sort of government sort of targets?
Timothy S. Gitzel: Those would be our forecast based on all the information we've collected over the past weeks and months.
Operator: The next question is from John Licata with Blue Phoenix Inc.
John J. Licata - Blue Phoenix Inc.: A 2-part question. Just curious, if Cameco believes that the HEU agreement between United States and Russia goes astray in 2013, is there growing confidence within Cameco that you can offset some of the supply gaps, especially coming from Cigar Lake? And if so, does that make you think possibly looking into a stock repurchase program similar to what was in place in 2007 makes a lot of sense now with the equity down 50%?
Timothy S. Gitzel: John, I think you heard 2 different pronged questions there. One was the HEU coming off in 2013, which we absolutely believe will happen, and whether we can make up that production, which we think we can over time. I was just thinking this morning that HEU total agreement, when it does come off, that would equal the production, I think, from McArthur, Rabbit, Smith Ranch and Crow Butte all put together. That would be about the equivalent I guess 24-ish, 22 million , 23 million, 24 million pounds of production. So yes, that will have to be made up by the market somewhere. We have, of course, our projects coming on Cigar Lake coming on in the period and ramping up. So we believe our sales will ramp up with the new production. Your other question was, I believe, related to a possible share buyback. Not in our plans at the moment. We plan to continue to grow the company and grow the production. And so we're not planning on that right now.
John J. Licata - Blue Phoenix Inc.: Okay. Fair enough. A quick follow-up on a more macro level. President Obama has stated that by 2015 he has expectations of the electric vehicle market to reach 1 million vehicles here in the United States. And I was curious to see if Cameco is starting explore some nontraditional alliances with either the charging station companies or utility companies, because obviously the need for baseload power can quickly start to make a very interesting conversation over the next couple of years.
Timothy S. Gitzel: Interesting question, John, because over the years, we have watched that quite closely, the electric vehicle market, just to see what effect it would have on the electricity market and the need for more safe, clean, secure nuclear energy. And so we're not directly involved in that. And quite frankly, I hope he's right. I hope that's the way the market goes. I don't know where the tech person -- personally where the technology is at now. But if it does, certainly, nuclear can play a big role in supplying the electricity to fuel those cars.
Operator: The next question is from Matthew Hill with miningweekly.com.
Matthew Hill - Mining weekly: Just one quick question regarding India and a potential supply deal between Cameco and that country. I know previously the company said that you are hoping to ink some sort of pact. But then, obviously, talks between the 2 governments got interrupted by the federal election year. What's the situation then, and when you're hoping to have something done by?
Timothy S. Gitzel: We do still see India as a strong growth country for nuclear. They have aggressive nuclear growth plans. And having seen that, we decided to make some moves and open a very small representative office in Hyderabad and have a very solid gentleman in charge of that office. That said, the going has been a bit slow, I would say for -- one of the reasons being the Nuclear Cooperation Agreement between Canada and India is not yet finalized. We continue to push both sides to get that done. There's some administrative arrangements that is still has to be worked out. So we're there, we're present. I think some of us will be heading over there in the not-too-distant future to, again, press the case, and we continue to press the NCA case with the federal government in Canada.
Matthew Hill - Mining weekly: Okay. Great. Do you have any sort of indication as to when the Cooperation Agreement might be finalized by?
Timothy S. Gitzel: Well, we have a few of them in the hopper, as we've stated before. The Chinese one for us is very important, and there's an agreement in place, actually. It just needs an amendment. So that's probably the one we've been pushing the hardest. And then, of course, the Indian one is not far behind. I wish I could tell you when they will be completed. We hope it's not too far in the future. We've been spending a lot of time encouraging, as I say, both governments to get them done because it's very important for our company. And so when we get good indications that the goodwill is there, but we just need the final paper signed.
Operator: The next question is from Ben Elias with Sterne Agee.
Ben Elias - Sterne Agee & Leach Inc., Research Division: Just a modeling question. What are the -- what's the tax rate assumption for the year?
Timothy S. Gitzel: I'll ask Grant Isaac to give us that.
Grant E. Isaac: Yes. So our outlook table is still calling for a recovery in our consolidated tax position, 0% to 5%.
Operator: The next question is from Greg Barnes with TD Securities.
Greg Barnes - TD Securities Inc., Fixed Income Research: Ken, what are your conversations like with utilities right now? What are they thinking? Where are their heads that? Is there still a chill? What do they want to do?
Kenneth A. Seitz: It's an excellent question, Greg. We -- we're talking to all of our customers at the moment, as you can imagine. And I would say that our traditional Western utility customers are -- continue to be well covered. We've said that we're heavily committed through 2016. And similarly, they're well covered through that period. So the purchasing is still a bit discretionary among that group. And so with the uncertainty in price and the market, they do -- they are able to sit out a little and watch how this is going to unfold. So those conversations with Western utilities are going along those lines. With respect to other parts of the world, places like India and China, certainly, Japan and Germany. Looking at their programs, and especially Japan and Germany, obviously, having deferral discussions with those utilities given that their needs are down, but even in places like China and India where I think, as Tim said in his opening remarks, the new bill has been pushed out a bit. And so those customers, while they'll be back in the market, we haven't seen them heavily in the market this year, as they're just reevaluating their overall needs given their inventory position. So I'd say, overall, the mood is -- among our utility customers, it's still optimistic and positive. I think becoming more positive all the time. And I think we'll see in 2012 some additional contracting, which will I think help to reinforce that we're still in a growing business here.
Greg Barnes - TD Securities Inc., Fixed Income Research: What about the issue of nonstrategic inventories for places like Germany and Japan? Do you have any sense of how big they are, or what's going to happen to them?
Timothy S. Gitzel: Yes, we do have a sense of how big they are. And just a number of units in Japan and Germany, and we've always said that those utility customers will hold 1 or 2 years worth of inventory. And the situation with Japan and Germany, a little bit different because in Japan, we're still reviewing if those units will be back or at least the majority of them; in Germany, where there's a planned phaseout there. In terms of what's happening to those inventories, we've talked about a little bit in our disclosure. So far, it appears as though the utilities are having conversations with producers about quite simply deferring volumes because they do have units that will continue to run. So those volumes are typically tacked on to the end of the contract. The thinking there is uranium prices suffered a little bit under the event in Japan, and those responsible utilities don't want to damage the price further.
Operator: The next question is from Orest Wowkodaw with Canaccord Genuity.
Orest Wowkodaw - Canaccord Genuity, Research Division: Just following up a little bit more on Greg's question. How much visibility do you have at this point in terms of 2012 uranium deliveries? Should we be anticipating that deliveries will be lower than they were this year, in the 31 million to 33 million pound range?
Timothy S. Gitzel: Orest, no, I think we would plan to be in the same range as we are this year for 2012.
Orest Wowkodaw - Canaccord Genuity, Research Division: And at what point, in terms of customers being able to defer material, say, from 2012 to future periods, how much time do they have to sort of make those decisions? Or is that -- do they really have until the end of next year?
Timothy S. Gitzel: Those are really mutual decisions to be made, and we treat them case-by-case. And depending on which customer and what the circumstances are, we do or don't do that. I think it's got to be by mutual agreement. And so we said I think off the hop [ph] with some of our long-term Japanese customers that we've been operating with or dealing with for 20, 30 years, that if they came to us and had some request for deferrals, we would look really seriously at those. We've done that. But other than that, we plan to deliver on our contract portfolio.
Operator: This will conclude the questions from the telephone lines. I would like to turn the meeting back over to Mr. Tim Gitzel for his closing remarks.
Timothy S. Gitzel: Thank you, operator, and thank you to everyone who joined us on the call today. In closing, I'd just add that one of our biggest strengths right now is our reliable and predictable cash flow, which is underpinned by our strong contract portfolio. We are heavily committed through 2016, with a contract mix that provides an attractive realized price, whether the market rises or continues to soften. That fact, combined with our excellent operational performance, is why we can and will continue to benefit all of our stakeholders. So again, today, I say thank you for joining us, and have a great day, everyone. Thank you.
Operator: The Cameco Corp. Third Quarter Results Conference Call has now ended. Please disconnect your lines at this time. We thank you for your participation, and have a great day.